Operator: Thank you for standing by. This is the conference operator. Welcome to the NexGen Energy Second Quarter of 2025 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Leigh Curyer, Chief Executive Officer and Director with NexGen Energy Limited. Please go ahead, sir.
Leigh Robert Curyer: Thank you, Joseph. Good morning, and thank you for joining NexGen's Q2 2025 Financial Results and Investor Conference Call. My name is Leigh Curyer, and I am Chief Executive Officer. Today, I'm joined by Travis McPherson, Chief Commercial Officer; and Benjamin Salter, Chief Financial Officer. On today's call, I'll discuss our exciting company advancements, including Rook 1 Project Readiness, Patterson Corridor East results, which strongly validate another significant mineral body is unfolding 3.5 kilometers to the east alongside Arrow. Further, the PCE results clearly suggest a very significant uranium mineralizing event has occurred in the Southwest region of the Athabasca Basin, Saskatchewan, on an unprecedented well scale and that we are really only at the beginning of defining its true extent. Further, the exciting developments in the uranium market over the quarter, including yesterday's announcement of NexGen doubling the volume in our offtake book, incorporating our key focus of market-related pricing mechanisms, ensuring NexGen Energy deliver industry- leading leverage to future prices whilst providing utilities with confidence with respect to volumes from Rook 1's technically, environmentally and socially operation. All in all, updating the critical role NexGen is set to play in delivering the world this vital clean energy fuel supply. At the conclusion of this presentation, we'll move to the Q&A portion of the call, where you have the opportunity to ask Travis, Ben and myself your questions. Throughout the course of today's call, we will be making forward-looking statements. Please visit our website for all the relevant disclaimers. A few years ago, the idea of nuclear energy powering big tech, winning back global financing support and forming the cornerstone of national energy policy might have seemed optimistic. Today, it's happening. In just the past several weeks, we've witnessed a series of transformational developments that are reshaping global perceptions of nuclear energy. Developments that signal a clear structural shift is occurring today and forecast to extend well beyond 2050. In Q2, corporate buyers, particularly hyperscalers and AI leaders moved aggressively to secure long-duration baseload power for their required energy needs. These technology companies have committed over USD 100 billion in AI data center construction, including Amazon's $20 billion spend on data centers in Pennsylvania; Meta signed a 20-year power purchase agreement with Constellation Energy to secure 1.1 gigawatts of nuclear generated electricity, which could power the equivalent of approximately 1 million homes. In addition, Constellation confirmed its nearing long-term nuclear fuel supplier deals with other hyperscalers. Google has committed to fund the development of three advanced nuclear projects and TerraPower, and Orwell raised another combined USD 1.1 billion to develop small modular reactors. The race for energy and particularly clean baseload nuclear preferred is on the growth and demand has never been more robust. These are just a few examples of the decade-long commitments to nuclear energy from the most capitalized and data-dependent companies on the planet. According to the International Energy Agency, data center demand for electricity is set to increase by 170% in China, 130% in the U.S., 80% in Japan and 70% in Europe over the next 5 years. This equates to an insatiable desire for uranium to fuel large portions of this demand through nuclear energy. The reality is that current mine supply will not keep up with the existing demand and certainly not meet the exponential demand growth unless there are higher prices. Governments, including right here in Canada under Prime Minister Mark Carney, are also moving with urgency, fast-tracking regulatory frameworks, investing in small modular reactor development and emphasizing domestic supply chains as a matter of national security. In May, President Trump signed a series of executive orders to accelerate U.S. nuclear power development, aiming to quadruple nuclear capacity from 100 to 400 gigawatts by 2050. Immediate actions include funding 5 gigawatt of upgrades for existing plants, starting construction on 10 new large-scale reactors by 2030, restarting closed or unfinished reactors, fast-tracking permitting by reforms and constructing at least three new reactors on by 2026. U.S. Department of Energy will also direct funding to new projects, invest in fuel cycle infrastructure, all to prioritize U.S. energy security and supply chain independence. This is the most comprehensive nuclear policy ever seen, and it has a profound positive implications for NexGen, Western-based, low-cost, environmentally responsible and poised ready for construction on the conclusion of the CNSC commission hearing process commencing 1 of 2 sessions only 99 days from now. In Canada, the passage of Bill C5 enables the Government of Canada to fast track major projects aligned with national, economic, environmental and indigenous priorities an approach that reinforces the direction NexGen has taken since its inception. While Rook 1 is already well advanced under the current regulatory framework, the passage of Bill C5 presents a clear opportunity for the federal government under Prime Minister Carney and Minister Hodgson's leadership to demonstrate this new legislation in action, something that is much needed in Canada in order for the country to realize its potential as a natural resources world leader. As a project that unambiguously meets the criteria of national interest, delivering economic benefit, environmental excellence and deep indigenous partnership through legally binding industry-leading benefit agreements. In the first 10 years of forecasted production, Rook 1 is capable of providing $37 billion in economic benefit to Canada. We will support 1,400 direct jobs and be initially licensed beyond 2050. NexGen's Rook 1 project exemplifies every aspect of the criteria that Carney government has defined for projects to be prioritized through Bill C5, and we look forward to the conclusion of the CNSC process to deliver the many stakeholder-led benefits our project exhibits. None of these developments are isolated. They are strategic signals from the private sector, financial institutions and government policymakers alike that nuclear energy has moved from the sidelines to the center of the global energy preference. Nuclear is not just part of the solution, it is foundational. At the core of this shift is a single truth. The world needs more electricity and it needs to be clean, reliable and affordable. It's not just about the power, it's about energy security, economic prosperity and national competitiveness, all underpinned by the requirement to supply the key ingredient, uranium. All these developments and a lack of supply lay the groundwork for structurally higher uranium prices in the foreseeable future. The reality is that the industry at large, to some extent, still believes that this can all be solved with higher prices over a reasonable time frame. However, to meet the exceptional growth in demand we're seeing, you need many new Arrow-sized projects to be found, delineated, engineered, permitted, funded and built. Arrow is widely considered the most technically sound and environmentally benign deposit globally, and we are entering into the 12th year since its discovery. Our decision to relaunch exploration in 2023 at Rook 1 has paid immediate dividends, with our PCE discovery, which we will evaluate in significance as drilling and development advances. I'll speak more in a moment about PCE. While the global policy environment accelerates, the uranium market is also gaining ground. In Q2, uranium spot prices rose over 20%, closing at USD 78.50 per pound, largely driven by the reentry of the Sprott Uranium Trust following a $200 million raise. It was a powerful reminder that the uranium market is very undersupplied and that when demand volume returns to the market, prices respond rapidly. Further, yesterday, NexGen announced a new offtake agreement with a major U.S.-based utility, which doubles our contract book in volume. Importantly, and distinguishingly from past practices, our pricing on the 10 million pound contract book is all U.S. utilities and is market-related at the time of delivery, providing unprecedented leverage to investors in this rising uranium pricing environment. At the same time, given our superior technical setting and environmental design, it provides confident diversification of a new Western world supply. Our contract book represents approximately 3% of our total defined resources and underscores NexGen's patient and strategic approach to building its sales book. We're in advanced discussions with utilities across North America, Europe, the Middle East, Asia and negotiations are increasingly urgent, informed and fast moving. With the commission's hearing set for September 25 and February 2026, NexGen is preparing to transition from advanced development to construction and subsequent operations. Our current cash balance stands at CAD 375 million, with funding to complete the 2025 site programs and initiate development for the first 12 months of post-approval construction. We maintain full strategic optionality with a strong cash position and active engagement with global debt providers, sovereign funds and utilities, amongst others, resulting in financing interest well in excess of the full funding requirements of the build. As we always have, we will optimize the vast number of financing alternatives available for maintaining our production flexibility and ultimately maximizing the value of each pound of uranium we produce and sell. At PCE during the quarter, NexGen announced our best discovery phase assay today. We drill hole RK-25-232, returning an incredible 15 meters at 15.9% U3O8, including an exceptional peak of 0.5 meters at 68.8%. This is amongst the best exploration intercepts in the world with Arrow hosting the majority of the other top 10. Since discovery, 45 holes at PCE have been resected mineralization. Of these, 12 have produced the ultra-high-grade massive replacement mineralization of over 61,000 counts per second. We've been bold with our spacing, in some cases, over 200 meters apart and are still intersecting mineralization consistently, demonstrating the continuity of mineralization and the overall strength of the system. Drilling to date at PCE confirmed the start similarities to the Mighty Arrow deposit just 3.5 Ks away. It's suggesting the early signs of another Tier 1 assay. It really does speak to the vast discovery potential of potentially more deposits on the Rook 1 property in the future. We also recently announced the consolidation of our entire land package, including PCE with the purchase of Rio Tinto's 10% production carried interest. It held on 39 of our claims. NexGen has secured a right of first refusal mechanism over this package after a third party made a bonafide offer to acquire it from Rio. NexGen now holds 100% ownership of all its claims in the district. This speaks to the acceptance by not only NexGen but others of the tremendous value in the Southwestern Athabasca Basin portfolio, which dominates the known and prospective trends in the district, a district which is often referred to as the future of uranium mine. In response, we have received regulatory approval to expand our exploration infrastructure, including a temporary air strip, road for dualway traffic and expanded accommodations to support a growing team on site. This program is currently underway and scheduled to be completed in Q1 2026. Our elite standards on responsible development continues to guide every part of the business. In May, we released our fifth annual sustainability report aligned with Global Reporting Initiative and Task Force for Climate-related Financial Disclosure Standards, highlighting major advancement across environmental, social and governance metrics. Through our growing education and workforce development programs, over 500 participants have engaged in NexGen-led training initiatives these past 2 years across a wide range of skilled trades. These programs developed in partnership with regional institutions and indigenous communities are designed to build capacity and create meaningful career paths aligned with the project's long-term needs. Indigenous leaders have publicly recognized NexGen's unique and leading collaborative approach with all four of the indigenous nations in the local project area citing NexGen as a benchmark for meaningful indigenous engagement and shared prosperity. Keeping an eye -- I advise to keep an eye out for a video on our website about Chantelle Herman, who is one of a group of talented local students who have become members of the NexGen team, pursuing highly technical careers at NexGen while still living in their community. Chantelle is one of these leaders in the community and Travis and I met back in 2015 at the National School Volleyball tournament and went on through our summer student program, followed by a scholarship and is now a second year geology student university whilst working as a field geology technician at Rook 1. This is one of many great outcomes from the Rook 1 project and is the foundation of delivering even greater generational advancement of the project as it goes into construction and operation. NexGen is well advanced on procurement with long lead and critical path items already ordered and in several cases, staged and secured in our warehouse. This progress reflects NexGen's fully integrated execution strategy and proactive supply chain planning, ensuring we are ready to begin major construction immediately upon final regulatory approval. With the team, materials and partnerships in place, Group 1 is execution ready. As we enter the next phase, our focus is clear; conclude approvals, finalize funding and begin building the most important new uranium project in a generation in a manner fully consistent with how NexGen have delivered the best results today across every aspect of the organization. At NexGen, we're advancing with clarity and conviction. We're executing with deep respect for the environment, communities, Saskatchewan, Canada, the world and our shareholders. We are energized by the opportunity to lead the future of nuclear. We appreciate your continued support and look forward to delivering further progress in the second half of the year. Thank you, and we will now open the call to your questions.
Operator: [Operator Instructions] And we will take our first question here coming from Katie Lachapelle with Canaccord.
Katie Lachapelle: Congrats on the new offtake. Similar to your previous agreements, you noted that it was a market-related contract. Two questions. Can you confirm if there's floors and ceilings in that new contract? And then as a follow-up, it appears that you're signing better terms relative to what some of your peer companies are announcing. Is that fair to say? And if so, what do you think is giving you that edge?
Leigh Robert Curyer: I can confirm that our contracts as a blend are very substantially market-related prices at the time of delivery. There's not one contract that fits all. Contracts are very specific to the technical and sovereign profile of either the producer or the emerging producer and also that of the particular circumstances of the utility. I would make a general comment that U.S. utilities and particularly the larger ones do prefer a surety around future pricing. And so what you'll see with those contracts is an embedded floor and ceiling. And where that is the case with NexGen, and I want to say that we have 4 contracts in place, which cover all aspects, floor and ceiling, full spot and then also no floor and an extremely high ceiling. They are, based on our knowledge of the market, very strong relatively. And I think that speaks to a number of things. I think it's an overall assessment by utilities with respect to the state of the current mine supply worldwide. We're seeing some of the historical projects that have been getting back into production, not meeting expectation. And then we're also seeing significant sovereign and technical risk impact some of the current producing centers. So what NexGen represents and also the other advanced developers in Denison, particularly in Canada, is we provide an alternative or a diversified supply of this key important fuel. And I think that then ultimately gets reflected in the pricing from what has occurred in the past to what is actually about to unfold in the future. So I know that's a bit of a long-winded answer, but we are only conveying what we're experiencing, and that is what is driving our contract book.
Katie Lachapelle: Awesome. Maybe just one quick follow-up. In the past, you've indicated, I think it was upwards of USD 1.6 billion in lending interest from banks and other credit providers. Is that number around the same? Or has that changed? And now that you've got a couple of these offtake contracts in hand, do you feel like you're getting closer to finalizing an agreement on the debt side?
Leigh Robert Curyer: Yes. And I'll hand over to Travis to answer.
Travis G. McPherson: Yes. Thanks, Katie. And as Leigh indicated, yes, it is growing, I would say. There's more parties getting involved seemingly every week, frankly. I think that's on the back of, obviously, all those banks signing that agreement to support the funding of this growth initiative by all these international governments. Also the bank was -- funding of nuclear projects well in excess of that and offtakes, I would say, do help the lending process, but it also opens up potentially new avenues of lending with government as an example. So -- but to be clear, the offtake contracts are being done kind of on an isolated basis based on our acceptance of those terms and everything like there -- it's not like we're conceding on anything that we want long term. So yes, it's very positive, and we're really interested to fund the full project along the time lines that we've indicated in the past, which is end of the year, into Q1 of next year ahead of the approval process. Also debt is one of the alternatives at hand. As Leigh mentioned in the earlier part of the call, we do have a number. I think it should be unsurprising the quality of the asset and which offers, but we have quite a few options at hand to fund the full project.
Operator: And our next question will come from Andrew Wong with RBC Capital Markets.
Andrew D. Wong: So just maybe back on financing a little bit. With regard to that, as you're having more of these conversations with various partners and there's more and more interest, what's your sense on the most likely path here? Is having a strategic asset or sorry, a strategic partner, the most preferred path and then maybe that's supplemented by debt or equity? Can you maybe just provide a sense on that?
Travis G. McPherson: Yes. Thanks. Maybe I'll start...
Leigh Robert Curyer: Go ahead, Travis. Do you want to go?
Travis G. McPherson: Yes. I would say we don't have a preferred path at this stage, like we're keeping an open mind to all of the avenues at hand. They all come with -- well, first of all, they're all at various stages. I would say all of them are advanced, but obviously, various stages of how advanced they are. And so all of them are attractive in isolation or together. So I would say we're keeping a very open mind with respect to how this ultimately gets funded, although obviously, we are keeping our focus on our ability to be flexible with respect to production volumes and maintaining our leverage to future upside in prices. That's what I would say to that. And Leigh, obviously...
Leigh Robert Curyer: Yes, exactly. Look, our principle is to finance it in a manner that optimizes the production and the return on every pound produced. And we're working both streams, both the equity stream, project equity, debt and also the potential of a prepayment on the future supply of a volume of pounds. Each one of them comes with their costs and benefits, but the overall principle that we will incorporate when we conclude the package is optimizing the exposure to future uranium prices. And whilst we can't be specific on the debt-to- equity percentage or whether it's project equity or not, that will be the guiding principle. And we will be most likely concluding that in the first half of 2026 at the -- subject to respectfully, the conclusion of the CNSC hearing process.
Andrew D. Wong: Okay. Great. Then just maybe on the project itself in terms of construction, given that the approval might be coming sometime in the first half of next year. Can you just talk about how the project team is shaping up right now? Can you highlight any construction expertise you've hired or if there are any notable additions recently?
Leigh Robert Curyer: Yes, it's a good question, Andrew, one that we don't make a lot of noise about. But behind the scenes, there's a very well-planned human resource execution that is going on. We've been adding to the team consistently since 2017 in line with the stage of development. Look, there's no doubt we've appointed some people that are ready to go and start constructing this mine. And obviously, we've -- when we've seen a quality hire, we've hired them on board. And they're very -- they're busy. They're not sitting around doing nothing, that's for sure. But -- so I would say on balance, we're probably over employed, but it is going to pay extreme dividends once we have that approval and we're into the construction phase. The benefit of a long permitting process is it gives you plenty of opportunity to plan, plan, review, plan again and review again and I can tell you the construction plan is down to a finite detail. We know exactly what we're building. It's technically a very simple mine in a mining sense. And we've attracted the best in the business on to the team. We have a combination of both direct employees and consultants, but the overall philosophy of NexGen is that we don't delegate any decision-making. We have a person on the team that takes responsibility for their respective field and that responsibility ultimately rests with Travis and myself and the Board. And so we are very much owner constructor and operator model.
Operator: And our next question will come from Ralph Profiti with Stifel.
Ralph M. Profiti: Leigh and Travis, I just want to delve in a little bit on these two offtake contracts being held to a 5-year term. Was there appetite on the part of the counterparties to move those contracts out to a further tenure? And is what's holding back sort of movement on the floors and the ceilings? Or is this becoming the industry standard? Or I'm just wondering if there's other factors at play, specifically with regards to the tenure?
Leigh Robert Curyer: We -- the contracts are very different dependent on the actual asset and the utility. There's not one contract that suits all. And that is also reflective of the utilities specific requirements. Utilities have a range of contracts with a range of suppliers and some are short term and some are long term. I would class ours as medium term in terms of length. And we are just at the beginning, we're at 3% of our total defined resources at Arrow. And we all know that the Arrow deposit is much larger and given its inferred resource, which will convert to indicated with subsequently closer space drilling. I would say our philosophy is -- at the moment, we're negotiating a variety of between 3-year, 5-year and 10-year contracts. And it is really dependent on the specific circumstances of the utility. And those characteristics differ from one region to the next worldwide, like the U.S. utilities have a different preference to the Asian utilities who have a different preference to the European utilities. So I just want to make the point that there's not one contract in this market that fits all. It is very specific to the utility and very specific to the producer. What we offer is obviously a high level of confidence in volume given the technical simplicity of our project. And that is resonating strongly with the utility customers.
Ralph M. Profiti: That's very helpful. I appreciate that. And Leigh, you mentioned the Bill C5 a couple of times in your preprepared comments. And now that we're 6 months from that second CNSC hearing, it does sound like there's iterations going on with detailed engineering. I'm just wondering, has there been any scope changes with regards to plant, equipment or components in the design that are directly being driven by Bill C5. And the reason I'm asking is just to kind of think about scope changes in the early preconstruction phase of the project.
Leigh Robert Curyer: Yes. Interesting question, but the answer is no. Our scope, there's been absolutely no scope changes whatsoever, full stop, and we wouldn't be contemplating scope changes as a result of Bill C5. Our approach since even prior to discovery has been to deliver an environmentally elite approach along with a socially elite approach. And we have done that. And in every respect, we have exceeded the requirements of the legislation from a technical and environmental perspective. And also from a social perspective, it's well documented that we've been incredibly proactive in engaging and consulting with indigenous communities and implemented programs where there is incredibly strong collaboration between NexGen and the communities. And that actually even extends beyond those that are defined as impacted. So I think Bill C5 is a reflection of Prime Minister Mark Carney's government recognizing that there are elements of duplication to permit a resources project, not just specific to uranium, but major energy and national infrastructure projects. And I absolutely applaud them for recognizing that and introducing legislation that aims to make the whole process more efficient whilst maintaining incredibly high environmental and social standards that Canada leads the world in. So that's why we are in Canada. That absolutely is aligned with our values as an organization, and we are very proud to deliver this project to Canada in line with the very high environmental and social standards that Canadians expect.
Operator: And our next question will come from George Ross with Argonaut.
Unidentified Analyst: It's Sam. Just in regards to the production carried interest, when is the market going to be informed a little bit more on the cost, et cetera, attached to that?
Leigh Robert Curyer: Well, it's confidential as per the agreement of the clause that triggered it. And so, yes, we are unable to disclose what it means or what the cost was specifically in relation to that acquisition. I will say we are very pleased to have acquired it. We had approached Rio Tinto on it. And then, yes, bonafiding bid was received by an external party, which we do not even know the identity of. And so we triggered our right of first refusal. And whoever that party was, thank you for expediting the process.
Unidentified Analyst: Fair enough. Okay. And just in regards to the Patterson trend, any plans to sort of test along strike at this point, Leigh? Or it's very much just going to be focused on sort of defining the higher grades there at PCE?
Leigh Robert Curyer: Yes. Our initial focus is to define and extend what we have at PCE. But look, we also have seen the results at Patterson, which is basically an extension of the trend, the Patterson Corridor East trend of our property, and they've hit mineralization as well. And what that says is that the whole conductor is very highly prospective for additional mineralization. As I speak, we've probably explored less than 1% of that actual Patterson Corridor East conductor trend. Similarly, with Arrow, we've explored less than 10% of that particular conductor corridor. And as everyone knows, you've got RRR that's along the Patterson Corridor conductor of our project. So the area is extremely well mineralized, and we are on the cusp or just at the very, very beginning of truly defining its true extent. We have 8 conductor corridors going through the Rook 1 project alone. There's no doubt there's been a significant mineralizing event in the region. And yes, we've put in an exploration camp to facilitate extensive exploration of that region of which we host 320,000 hectares. So it's incredibly exciting. It really is a geological phenom. And we are -- yes, there's a lot of drilling to be done before we can truly hold our hand on our hearts and say, you know what, this is the extent of it.
Operator: And our next question will come from [ Fred Pollard, ] a private investor.
Unidentified Analyst: You mentioned Rook 1 is execution ready, and you've been held back, in my view, for some time now awaiting the federal approval process. You mentioned C5, and I have a couple of questions along that theme. So has C5 triggered some conversations with the government on advancing mine approval? And secondly, might there be some movement on the government schedule that you also mentioned earlier in the call? And I ask that because of the principles of fast tracking that are associated with Bill C5.
Leigh Robert Curyer: Thank you for the question. And it's a very topical question. Look, I would say that the introduction of Bill C5 from Prime Minister Carney is absolute recognition that there are some efficiencies that can be gained at the federal level, particularly after provincial approval and the indigenous community approval in the region of a specific project. And he's been very, very clear about that. And as a consequence, he's also going to resource a new project's office to help fast track the federal process. I absolutely applaud Prime Minister Carney and his ministers for that endeavor. I think in reality, the NexGen project is so advanced in the process that these initiatives are going to really benefit other projects that come after NexGen. And so we are resource industry advocates clearly. And we're really excited about that because like NexGen isn't going to fill the gap on its own. The world needs -- with respect to uranium, the world needs 2 to 3 Arrows and they need them now. So I think that's excellent news for every other advanced developer out there looking to get into construction. So specifically to our project, I think the benefit is most likely for other projects behind us, but I absolutely applaud the recognition and the importance that the federal government is placing on the expedition of major projects.
Operator: [Operator Instructions] Our next question will come from Brian MacArthur with Raymond James.
Brian MacArthur: If I can just go back to the contracts, there's been a lot of talk about floors and ceilings. But can you confirm or deny, I guess, whether there are any volume options in those contracts? It sounds like there isn't the way you're talking about how much is committed, but I'm just trying to figure out how that part of the equation is working in all these contracts.
Leigh Robert Curyer: Yes, Brian, there's no volume discretion in the contracts by the utility or us as the supplier. I'd make -- and that's very clear. I'd make a general statement that the form and structure and pricing of the contracts are changing from what has been done in the past. The environment is changing. And the contracts which we are doing are different and have got different elements to what has been done in the past. And I think you're just going to see that naturally evolve over time as the scarcity and the risk, be it sovereign or technically around supply increases. And so yes, my overall comment is the environment is changing. There's no doubt about it. And what we are conveying to the market is what we are experiencing, and it's different for all companies. And as I said, it's very specific to the technical and sovereign profile of your supply and also very specific to the particular utilities preferences, and they differ between the U.S., Asia and Europe.
Brian MacArthur: Great. That's very clear. Second thing, can I just confirm there's been a couple of comments about the financing and timing, whether it's year-end or H1 next year and then comments around the CNSC approval. Could you have financing in place before the CNSC approval? And would that be subject to CNSC approval? Or are they sort of dependent on each other? Any comments on that? Just to clarify, I think, would be helpful.
Leigh Robert Curyer: Yes. They're obviously related. And we -- look, if we were approved today, we would have concluded the financing. We've been well prepared for this for many years. But we can't really trigger the financing until we have approval to that extent. So as time -- as that final approval timetable unfolds, so will the financing. And terms or optionality may be better in the future given the way this environment is changing. And so we are just keeping our exposure to that in place. But I can assure you, we will conclude financing in short order post approval.
Brian MacArthur: There are just different time horizons talked about. So I was just trying to clarify that. I appreciate it.
Operator: And this concludes the question-and-answer session. I'd like to turn the conference back over to Leigh Curyer for any closing remarks.
Leigh Robert Curyer: Yes. Thank you all for listening and joining the Q2 call. Thank you for your questions. We certainly appreciate them and everyone's interest in this incredible project. And Q3 is going to be an incredible quarter ahead of us with everything that we're working on and the conclusion through the end of the year, not just what's happening at NexGen, but driven by what is happening in a very rapidly changing market environment. And we appreciate your interest in our project, and we look forward to continuing to deliver on the milestones that we have articulated.
Operator: This brings to close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.